Operator: Good day, and thank you for standing by. Welcome to the Marpai Fourth Quarter and Full-Year 2022 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to Simon Li, who is Vice President with Marpai. Please go ahead.
Simon Li: Thanks, Operator. Welcome, everyone, to our fourth quarter and full-year 2022 call. With me on the call today are Marpai's Chief Executive Officer, Edmundo Gonzales; and Chief Financial Officer, Yoram Bibring. Before turning the call over to Edmundo, please note that we'll be discussing certain non-GAAP financial measures that we believe are important when evaluating Marpai's performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and the reconciliations thereof, can be found in the press release that is posted on our website. Also, please note that certain statements made during this call will be forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to risks, uncertainties, and other factors that could cause the actual results for Marpai to differ materially from those expressed or implied on this call. For additional information, please refer to our cautionary statement in our press release and our filings with the SEC, all of which are available at marpaihealth.com. And with that, I will turn the call over to Marpai's CEO, Edmundo Gonzalez. Edmundo?
Edmundo Gonzalez: Thanks, Simon, and good morning to everyone, and thank you for joining us. It's a pleasure to be here to discuss our Q4 and full-year 2022 financial results. For some of you that are joining for the first time, let me just take one minute and review who we are and our and our strategy. Marpai is a technology company which is reinventing how employers around the country manage their spending on healthcare. Often, this is the second-largest expense for businesses outside of payroll. We work with employers that elect not to buy traditional health insurance for their employees, but rather they self-insure. What we do is create company health plans and manage them for our employer clients. Almost 100,000 people carry a Marpai card in their wallet, or often a digital card on the Marpai app, which they present at doctors’ offices, pharmacies, and hospitals around the country, just as one would with health plans from Blue Cross or other large insurance companies. Our value proposition is simple. We save employers money by engaging our members proactively in a manner that improves their health. And yes, healthier employee populations cost our clients less. That's what we do.  Our revenue comes from management fees that employers pay us to manage their health plans, as well as fees from a portfolio of ancillary services, including care management, our team of nurses who guide patients on their healthcare journeys. 2022 was a transformational year for Marpai. We closed the acquisition of Maestro Health in November ‘22, and this acquisition dramatically increased the size and scale of our business in both revenue and the number of employee lives whose healthcare we manage. At year-end, we managed over 42,000 employee lives on behalf of approximately 188 self-funded employers across the country. To give you an idea of our new scale, last year we paid over 1.15 million medical claims, which cost over $462 million to our clients. Now, Maestro’s business was quite similar to ours in terms of their core offering. It's also an administrator of health plans. It had similar clients, which are employers with hundreds of employees, and it had a long-term commitment to serving the members of its health plans. Because the businesses are so similar, we have the opportunity to gain efficiencies by eliminating duplicative positions, standardizing systems from two to one in most areas, and cross-selling products from each legacy client base. We have made much progress since the acquisition in all of these fronts, but there is still much work to do.  Yoram Bibring, our CFO, will give a detailed analysis of the results of Q4 and 2022 as a whole, but let me take a minute to describe the effects of our acquisitions on our revenue over the last few years, and how I see 2023 developing. Our net revenues have gone from zero in 2020 to $14.2 million in 2021 due to our first acquisition, and to $24.3 million in 2022, including the acquisition of Maestro for November and December, 2022. We have given guidance on 2023 revenue to be between $34 million and $35 million. Given the nature of our business, where clients enter into contracts with us of no less than one year, we have relatively good visibility on revenue. Now, 2023 is the foundational year where we are setting the groundwork to reach profitability in 2024. I've said before that my goal is to create a substantial public company that benefits our members, our clients, and of course, our shareholders. So, what should investors look for during 2023? In my mind, there are three big strategic items before us, and each is important as we reach toward profitability. First, we have an opportunity to grow our business based on clients we already have. During 2023, we are selling all the new products that we have gained via the acquisition of Maestro Health to the Marpai client base. I mentioned in previous calls that the per employee per month revenue, this is a key metric in our industry, at Maestro approaches $50, while in Marpai it is approximately $33. Our goal is to bring our total base up to $50 per employee per month. Second, investors can see the transformation of our business during 2023, looking at adjusted EBITDA, excluding discontinued operations. This measure excludes severances, unused leases that are no longer necessary in our joint business, and other one-time expenses related to our integration of the two companies into one. We believe this metric will improve every quarter of 2023 as we continue to implement our integration plan. We'll be sharing this with you on future calls.  Third, investors should also monitor the future, which we believe is all about value-based care, and see how we play a role in this. Let me explain. Venture capitalists have spent over $20 billion in recent years on some amazing healthcare companies that attack a particular disease or condition. These have spent much capital on solutions that reverse a1c for people with diabetes, for example. They have the products, the medical staff, and the data on efficacy. They also put their fees at risk and work with the largest employers in America. Now, they do this because they need a virtual insurance pool since they're putting their fees at risk. We've partnered with these companies to bring the solutions to the lower middle market, companies with 100 employees or so versus say 5,000 employees. We have made significant investments in AI and other technologies to create a marketplace for these solutions to our member base. Think of a mini Amazon for the healthcare space, one that matches your healthcare journey to the most appropriate evidence-based provider. Members love it because these solutions make them healthier. Employers love it because these vendors charge only on consumption. There are no fixed fees, and all these vendors have published ROIs. We have announced the creation of an ecosystem of very specific partners that are value-based like Virta for people with diabetes, and Vori for people that are suffering from musculoskeletal issues. More are coming. This is a pillar for us in bringing better health to our members as a goal in itself. But the other beneficiaries, of course, are clients. The self-insured employers will also have lower overall healthcare costs. As I mentioned, a healthier employee population costs less. More to come here.  Let me turn it over to Yoram for a detailed overview of our financial results.
Yoram Bibring: Thank you, Edmundo and good morning, everyone. And previously mentioned by Edmundo, the main event of the fourth quarter was the closing of the Maestro acquisition on November 1. It means that our fourth quarter results include two months of Maestro's operating results. And due to the materiality of this acquisition, most of the changes in our revenues and expenses, so Q3 to Q4, were a result of this acquisition, which contributed $3.4 million of revenues and $5.4 million of operating expenses.  Our revenues for the fourth quarter of ‘22 were approximately $7.6 million compared to $4.9 million in the third quarter of ‘22. Included in our fourth quarter revenues are the $3.4 million that were derived from the Maestro legacy customers, while the revenues from the Marpai legacy customers declined by $700,000 due to the termination of the contract with a large customer who was not meeting his contractual obligations, which we told you about on the second and third quarter calls. As of December 31, our total number of employee lives was 42,107, of which 1677662, were employees of legacy Marpai customers, and 25,345 were employees of the legacy Maestro customers. As you may recall, we finished the third quarter pre-Maestro acquisition with 16,357 employees lives, which means that there was a slight increase in the number of the Marpai legacy employee lives. Going forward, we're not planning to separate the legacy Maestro and Marpai in our reporting. We're doing it now as this is our first quarter as one company, and there is no other way to provide any meaningful comparative information without this separation. We're quickly becoming one company, and most, if not all of our operating departments, are now running with one team led by one manager. This does not mean that we have completed the integration process to the full extent, as this is still ongoing, but we've done a lot in terms of integrating the people side, which is where most of the costs are versus the system side and infrastructure side that take more time to integrate and there are more - and where more care needs to be taken to avoid customer-related issues. Moving on to expenses, I will be comparing the fourth quarter ‘22 expenses to the third quarter ‘22 expenses. Cost of revenues historically included cost of processing and adjudicating claims, customer service costs and amount charged by third party vendors for their services that we resell to our customers. With the acquisition of Maestro, we are now also providing care management services that are delivered by our nurses, and cost containment services that have a labor component as well. And all these costs are now also included in our cost of revenues. Our cost of revenues for the fourth quarter, excluding depreciation and amortization expenses, were approximately $4.8 million or 63% of revenues, versus $3.6 million or 74% of revenues in the third quarter. Our gross profit was $2.8 million or 37% of revenues in the fourth quarter, up from $1.3 million or 26% of revenues in the third quarter. The reason for the increase in the gross profit was that Maestro’s ancillary products, primarily care management and cost containment, have a higher margin than the margin on administrative services, and that drives the overall blended margin higher. We expect our gross margin to remain higher than our historically reported gross margins, which preceded the Maestro acquisition. Our fourth quarter operating expenses, not including cost of revenues, depreciation and amortization, and stock-based compensation expenses, were $9.8 million, an increase of approximately $4.2 million compared to the third quarter, where these expenses amounted to $5.6 million. Approximately $3.3 million of the increases were due to the inclusion of Maestro in the consolidated results for the first time. We're expecting to reduce our ongoing operating expenses started in Q1 and continuing throughout the year.  Operating loss for the fourth quarter was $8.9 million compared to $5.8 million operating loss for the third quarter. Approximately $2 million of this loss was from the Maestro legacy business, as the efficiencies associated with the integration of the two companies are not yet reflected in the fourth quarter results. This will start changing in the first quarter and accelerate in the second and third quarter, and we will aim to report to you our results with and excluding what we call discontinued activities, which are mainly cost of leases of unused facilities, severance costs, and other one-time costs. Fourth quarter we recorded $259,000 of non-cash interest expense. This relates to the amount that we owe for the acquisition of Maestro, which we booked based on the present value of the purchase price. We will continue to accrue this non-cash interest quarterly until the purchase price amount will be paid in full. You can find the details of this transaction in our SEC filings, and we will be happy to try to answer any questions you might have about the deal terms during the Q&A session. During the quarter, we also recorded a non-cash tax benefit of $521,000.  Our net loss for the fourth quarter was approximately $8.5 million or $0.41 per share, compared to a net loss of $5.8 million or $0.28 per share for the third quarter. Excluding net interest expense of $115,000, net tax benefit of $521,000, stock-based compensation of $680,000, and depreciation and amortization expenses, as well as one-time asset write-off cost of approximately $1.3 million, adjusted EBITDA for the fourth quarter was a negative of approximately $7 million, compared to a negative of $4.3 million in the third quarter.  Moving on to guidance. We expect ‘23 annual revenues to be between $34 million to $35 million. We expect first quarter ‘23 revenues to be to be in the range of $9 million to $9.3 million. First quarter revenues are expected to include approximately $0.5 million of one-time revenues from one of our new ancillary products, which we acquired through the Maestro acquisition, as well as $0.5 million of one time run-of revenues.  And with that, we will open the call for questions. Operator?
Operator: [Operator Instructions]. The first question today comes from Allen Klee of Maxim Group. Please go ahead.
Allen Klee: Good morning. Hope all is well. In terms of the partnerships that you've been adding, can you talk about how that can impact your combined company over the next two years? Thank you.
Edmundo Gonzalez: Yes, thank you, Alan, and good morning to you. So, the ecosystem is just beginning. We have announced two partnerships. We will increase this to probably about a dozen value-based, evidence-based leaders in the healthcare space. This is good for our populations as a whole because what we're doing is basically mapping the disease states that affect the different populations we're lucky enough to serve, and basically getting the best vendor in the country, I'm not exaggerating, in the country and the world, to map that. We're really the first to bring this to the lower middle market, as I mentioned briefly, because in many cases, these companies have to focus on the Fortune, say 500, Fortune 1000, simply because they're putting fees at risk so that they need a bit of an insurance pool. Now, what we did here was go to these companies and say, well, forget about the client with 100 lives. Let's say you're a law firm with 100 lives, right? Doesn't matter. It's not addressable to you. Treat me, Marpai, as someone that has 42,000 lives and I'm your client, right? And I will pass these programs on to my customer base. So, these solutions are definitely life-changing for many of the members. What's also interesting is that all of these companies that we've partnered with, they've already done all the hard work on return on investment, and it's published, right, and it's vetted. They've been around for a few years. So, we have that data to share with our clients. Our high level estimates is that the impact of the ecosystem on our clients can be in the hundreds of dollars per employee per year, often equaling what one of our clients would pay for medical claims for a month. Now, you know this business, Alan. There's no - the slope of the healthcare curve only goes up, right, in terms of cost. So, if we're going to our clients and saying, look, do you want to a free month? That’s very material. That's very, very material to them. And I'm including in that calculation all the fees to the vendor, our fees that we get for managing everything. And still, there's a pretty positive result. So, this is very exciting for our clients, obviously, for our members who have an opportunity to access these kind of best-in-class solutions as well.
Allen Klee: And then just following up on that, how do we think about how Marpai would maybe benefit financially from this?
Edmundo Gonzalez: Yes, so for Marpai, it's very clear. So, we have taken the approach of creating essentially a marketplace, as I mentioned in the remarks. I mean, think of a mini Amazon, right, which has all that you need in healthcare as a member of a plan, right? So, we know, because of all of the investments we have made in technology and different elements of artificial intelligence, we can pinpoint who is on what healthcare journey in terms of our member base. So, we know not only that you are a person with diabetes. That's easy, by the way. You don't need advanced AI to do that. You can just look at the claims, but if you're trending towards that, it may not be so obvious. The other thing that we do is understand which members may be best suited for which solution, right? So, Virta, for example, our partner in the diabetes space, is not for everyone, right? It's only available in one language, for example. We serve members with half a dozen languages, right? So, we are able really to tailor make the match in a very smart way, and basically steer that member to the best solution for him or her. That's really the difference. Now, financially, what it means is that these companies don't have a cost of acquisition, right, because I'm essentially delivering a member that's ready, willing, able to sign up for their services and start using the service. So, basically, I take a big fee, a big slice of their revenue in exchange for them not having the cost of acquisition. So, more members in this ecosystem, obviously more of revenue for Marpai.
Allen Klee: That's great. And is the way to think of that fee - just last question on this, for you, you're the - that would be relatively high margin compared to your other offerings?
Edmundo Gonzalez: Well, it is. This particular piece here, if you look at it as a standalone, I mean, this is a software-driven fee. So, our approach in the marketplace is first and foremost to understand you and what healthcare journey you are on. But then afterwards, it's really to communicate with you if there is something that can make a big difference in your life. And that's a multi-channel approach. That's a software - largely a software-driven approach. So, we obviously communicate via text, pings on the app, in some cases also phone calls by our clinical team. But our lift there is not really providing the service. Remember, we're not the provider. We're the payer. It's really matching you with that payer. So, one would expect software-like margins in that brand new revenue stream. We'll start showing revenue from this ecosystem this year. And obviously, that ramps up next year as well.
Allen Klee: That's great. Thank you. And then you talk about how most of your - well, most of your contracts are one-year plus, and I believe that most of them have a January 1 start date. Is there any qualitative comment you could talk about and how you feel the renewal season went?
Edmundo Gonzalez: Look, for the beginning of this year, we had several items kind of in play. First and foremost, on the legacy Marpai side, we had managed to kind of clean up the first the first acquisition we made actually in 2021. So, if you eliminate the client that we talked about, which we actually asked to leave, as well as one client that experienced a bankruptcy, again, there's nothing we can do, our renewal rate was in the 90 some percent, which is very, very good. That business, by the way, when we bought it, was only retaining about 70%, meaning that they were losing 30% of their business a year. That's not sustainable. So, I do feel some of those customer bases that we have acquired have stabilized, and obviously we're working very hard to keep those clients. That's really the mark of success here. On the Maestro side, I would note that most of those clients actually do not have one-year contracts, but multi-year contracts, right, three to six-year contracts. So, that revenue base actually does not come to the market every year, and it is staggered, right? Again, the dates of renewal in the Maestro base are also heavily weighted to 1/1, but the amount of the total base that actually comes to the market that year, even for a renewal or for a price check or whatever, is not all of the customer base. It is staggered.
Allen Klee: Okay, thank you. And then I guess more on thinking about the financials, in terms of revenue, how do I think about the revenue per employee lives under coverage kind of as a mix between both of you, and how to think about what that could mean if you move more to the Maestro business model of everything that they have?
Edmundo Gonzalez: Yes. Let me share some high-level thoughts on that specific metric, because it's a very key metric, and then Yoram can also share his thoughts on that. So, look, right now, as I mentioned, the Maestro base is at approximately $50 per employee per month of net revenue, where the legacy marque base is in the low 30s, again, per employee, per month. Now, the nuance here is really important to understand, meaning this is not because Maestro charges more for admin fees. They actually charge less than the legacy Marpai base. What has happened is that we're now the beneficiaries, Alan, of the tens of millions of dollars that were poured into product development by the previous owners, by AXA, and they created a whole portfolio of ancillary products, okay? So, those products would take an employee life that may have, say, $22 in admin fees. That's a traditional fee that any TPA would get, up to $50 per employee per month. Now, what are some of those ancillary products? Well, first of course is care management. So, we have a full-blown multi-million dollar business staffed by nurses and other clinicians that help employees on all of their healthcare journeys.  So, if someone's coming out of the hospital, a nurse is reaching out to them, making sure they have their follow-ups, their proper care to not be readmitted into the hospital, right? Readmissions are a big driver of cost and also of, in some cases, deterioration of member health. So, our job is to make sure employees, essentially members of our plans, have the right care at the right time. And of course, we make money off of that because those nurses are charging the plan as a medical claim for this guidance and this management of the employees. That's just one business. We also have a full-blown business in processing all of the claims that are not in network. So, the out-of-network claims is also a very lucrative business, and that is what's driving really the journey from $22 to $50, right? And that's also what's driving the margin. Now, on the Marpai side, again, we're starting at $33. So, our base is similar, kind of in the mid-20s for admin fee, where the difference is on ancillary products. Now, the issue is that in the Marpai side, the ancillary products were not ours, right, that we were partnering with someone to do out of network, with another vendor partner to do care management, et cetera. So, now that we own all these, we don't just take a little fee by providing these, but we can actually provide the service and capture all the revenue. That's how you get to $50. That's how you get to $50. I'll share with you that in our internal estimates, we call it 50 by 50, right? So, if you would reach, again, just the TPA business, our core business, we think breaks even at 50,000 lives at $50. Now, obviously if you're at $55, you can have a lower number, but 50 by 50 is the key metric here, and we're on our way. Yoram, would you like to share anything on that? 
Yoram Bibring: I think maybe one thing I want add, just one thing, because I think Edmundo said it very well, is that in terms of value-based care, we are not really expecting substantial additions to the PPM this year. It might be a little bit in the fourth quarter. It's really more in ‘24 where we'll see - we expect to see more material revenues from that. So, that's the only thing I wanted to add. Basically, as Edmundo said, the more we sell the ancillary, the legacy ancillary products from Maestro, the higher this number is going to go towards $50. That's the name of the game.
Allen Klee: Okay. Thank you. And then on the expense side, you mentioned in the press release that by the second quarter of ‘23, the Maestro acquisition will be accretive, which is pretty fast. 
Edmundo Gonzalez: Yes, we said it on a monthly basis. Yes, we said it on a monthly basis. So, when we look at our monthly results and we looked at where we were in terms of EBITDA pre-deal, pre-Maestro, we expect to be, by the middle of the year, back to a situation where we're doing better than we did then. So, to me, that would be when they've become accretive. Quarterly, it might not be until maybe the fourth quarter or the third quarter. But on a monthly basis, it will happen around the middle of the year, we expect to see it. And again, this is primarily through our costs, right? This is not - this is primarily by us saying we're cutting costs. It's not based on assumptions of high revenue growth.
Allen Klee: Got you. Thank you. Oh, so that's not really factoring in the - anything on the selling the new products or partnership revenues. It’s really going to …
Edmundo Gonzalez: Not substantial, no. Remember that, even though we're very hard at work in cross-selling these, our assumption, I think a conservative assumption is that the real uptake on everything is really at open enrollment at the natural - renewals or enrollment, right? So, again, a three-year contract that may not renew, they still do have an event at the end of the year, right, for educating employees and all that. So, in terms of implementation of some of these, one would assume it's in the natural time, which is around 1/1. But the integration, the mining of all of these cost synergies, that's what we're doing right now. So, the improvements that I talked about during my remarks, are really cost-driven.
Allen Klee: For the partnerships that you can add to legacy Marpai customers, can that happen throughout the year or does that happen just at the enrollment time?
Edmundo Gonzalez: No, so for the vendor ecosystem, we are adding these as we go, and we actually have members already on these on these programs. So, again, all of these things, including the Maestro legacy programs, can be added at any time. There is no rule that says you need to wait until open enrollment and renewal. I think for conservatism, we have said, look, yes, although we are adding it now, even if we have a sale, we expect the actual movement and uptick to happen really only on renewal. So, our plan here for the year is conservative, but also one that focuses on cost. We obviously think there's a huge uptick opportunity for - in selling these ancillary products and the ecosystem, but we are really focused on eliminating the duplicative positions, taking out as much cost as we can from the business obviously. And that ancillary revenue will certainly materialize. I think we're being a little conservative on that.
Allen Klee: That's great. If you were to look at three to five years, and if we assume that you've really - you've been successful in consolidating, rolling up some TPAs and the number of lives and the products you're offering, how do you think about the profitability structure that your business has the potential of?
Edmundo Gonzalez: Look, so for sure, we’ll have crossed the 50 by 50 mark, right? So, the 50 by 50, get 50,000 employee lives at $50. We're already at 42,000. And by the way, on a blended basis, about $42 PPM, right? So, that's the mixing, Maestro at 50 and Marpai in the low 30s. So, we're on that journey. Crossing that, one definitely would expect a nicely profitable company driven from a few items. Profitability here is driven by efficiencies in processes, which obviously with more scale even now, we're able to mine. Now, that's all great, but again, most of that is related to the 20 some dollars of admin fees that are frankly, low margin. And that price is set by the market, right? That’s kind of a - let's call that a commodity price. Now, everything else, that difference between say, $22 and $50, that is most certainly not a commodity and most certainly not low margin, right? So, the more we can - the more lives we acquire, the more higher margin ancillary products can be sold. The hook here in all of this is obviously paying claims and doing that very well, which we do, but the profitability really comes from all of the ancillary services. If you would kind of look three years into the future, I'm obviously expecting hundreds of thousands of lives on our platform, lives that we're managing, essentially the health plan, meaning it's not just paying claims, but we're really following through on our mission, which is to get the employee populations that we serve a bit healthier. And we've talked about our unique approach and doing that. And by doing that, we are delivering real cost savings and cost control for our employer clients. Remember that the $50 per employee per month that we're charging, right, and including the ancillary services, that’s maybe about 5% of overall healthcare costs, right? And there's a lot of discussion in the industry about this 5%, but that's really the tail wagging the dog. What we should be talking about is the 95%, meaning the expenditures on medical claims, on drug claims, right, on getting those populations healthier because that 95% is huge. Not to mention, of course, the other piece that makes up the cost is the cost of reinsurance or stop loss insurance, right? But that's all connected to the core driver, which is, how much did the actual healthcare cost, not the administration we're a very small part of this overall pool, but how much did actual healthcare cost? And we believe we have a very big role to play in controlling that cost, while providing healthier populations.
Allen Klee: That's great. It's very exciting. One last question. It's maybe early to be asking this, but how do you think about just the potential pipeline or opportunities of M&A that might be out there, and when do you - well, I'll just leave it at that. Thank you. 
Edmundo Gonzalez: Yes, no, thank you for that. Yes. So, everyone should know that this market, the third party administrators, is fragmented. There is still a lot of market space to consolidate, especially in smaller TPAs. I'm talking with 3,000 to say 15,000 lives. We are looking. We continue to look. We're obviously very focused on integrating this very kind of transformative deal with Maestro, but most certainly, we will be active there. The beauty of this whole strategy, I guess in rolling this up, really comes from the fact that we have a lot more to sell. So, one of our key items here is whether - can we acquire, let's say 10,000 brand new employee lives at a fair price, but based on revenue that is say, $25, because that's what TPAs charge, right? That's their admin fees. Can we do this? Absolutely, we can. But the second question is really, can we take that base to $50 because we have so much more product, right? That's where the added value comes in. Now, obviously, we're not paying for that block as if it's $50, because that difference is ours, right? That's what we bring to the table. But that's really the trade here, Alan, and I think that's what's super exciting. So, definitely with everything we're building, with the stabilization of operations, again, this was not a normal acquisition. This, obviously needed a lot of work, which we're doing. It also came with a lot of cash, which is obviously very positive. This was definitely a one-off and very special opportunity, but I do expect other books of business here to be rolled up in the coming quarters and years for sure.
Allen Klee: Maybe just one other follow-up on that. I don't know how much data points are publicly available, but just is there kind of a rule of thumb of multiples of revenue that TPAs get acquired for?
Edmundo Gonzalez: It’s a little bit all over the place, and most of these transactions have been in the private markets. I will share with you that once - from the data that we know, without naming names here, once you are profitable, we've seen transactions even in the 15 to 17 times EBITDA in the private markets, right? So, we do believe our TPA business, obviously, that's why we're rushing towards profitability, even though we're not a normal TPA, meaning, we're providing so many other services and so much more - there's so much more margin potential because of all the ancillary services. But regardless, we want to make sure we are profitable in 2024, we break that line and become profitable. We certainly can. And we think obviously - this may be obvious, but we think there's a huge disconnect even now between what a PE would pay for an asset like ours and what the public market is thinking. That’s our view.
Allen Klee: Great. Well, I admire everything you guys are doing. It's very forward-looking. Thank you so much.
Edmundo Gonzalez: Thank you, Alan. Are there any other questions?
Operator: There are no other questions at this time. I would like to turn the conference … 
Edmundo Gonzalez: Okay. Well, I'd like - oh, thank you so much, operator. I would like to thank everyone for participating. Thank you so much for taking the time, and please do follow us on LinkedIn, and obviously, I hope we are on your trading screen as well. Thank you so much.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.